Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Q3 AMETEK earnings conference call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] It is now my pleasure to introduce, Vice President, Investor Relations, Kevin Coleman.
Kevin Coleman: Thank you, Andrew. Good morning. And thank you everyone for joining us for AMETEK’s third quarter 2020 earnings conference call. With me today are Dave Zapico, Chairman and Chief Executive Officer; and Bill Burke, Executive Vice President and Chief Financial Officer. AMETEK’s third quarter results were released earlier this morning and are available on market systems and in the Investors section of our website. This call is also being webcasted and can be accessed on our website. The webcast will be archived and made available on our site later today. During the course of today’s call, we will make forward-looking statements, which are subject to change based on various risk factors and uncertainties that may cause actual results to differ significantly from expectations. A detailed discussion of the risks and uncertainties that may affect our future results is contained in AMETEK’s filings with the SEC, including in our 10-Q, which we file later today. AMETEK disclaims any intention or obligation to update or revise any forward-looking statements. Any references made on this call to 2019 or 2020 results will be on an adjusted basis, excluding after-tax, acquisition-related intangible amortization, and also excluding the gain from the sale of Reading Alloys in the first quarter of 2020, and the realignment charge taken in the first quarter of 2020. Reconciliations between GAAP and adjusted measures can be found in our press release and on the Investors section of our webcast. We will begin today’s call with prepared remarks from Dave and Bill, and then open it up for questions. I will now turn the meeting over to Dave.
Dave Zapico: Thank you, Kevin, and good morning, everyone. AMETEK delivered a strong third quarter, despite ongoing challenges presented by the COVID-19 pandemic. While sales continue to be impacted by the pandemic, the demand environment shows solid improvements from the second quarter, as customers return to work and travel restrictions began to slowly ease. In addition, our businesses delivered outstanding operating performance, allowing us to expand margins, generate excellent cash flow and drive earnings ahead of our expectations. I would like to thank our employees who are managing exceptionally well through this pandemic, overcoming both personal and professional challenges to provide essential products and services to our customers. I continue to be impressed by the strength of our workforce and the dedication to our mission of solving our customer’s most complex challenges We remain vigilant and focused on our employees’ safety. Our site and country level pandemic coordinators are doing an excellent job adapting to the shifting guidelines provided by the CDC, and local health and safety agencies. The flexibility our teams have shown in implementing new processes and protocols to ensure a safe working environment has been excellent. Now let me turn to our results for the quarter. Third quarter sales were $1.13 billion, down 12% compared to the third quarter of 2019. Organic sales were down 14%. With the recent acquisitions contributing 5 points to growth, the divestiture of Reading Alloys a 3-point headwind and foreign currency adding 1 point. As expected, our commercial aerospace business, which is less than 10% of the overall company, experienced the largest impact from COVID, with sales down approximately 35% versus the prior year. Our businesses continue to drive operational excellence initiatives to help mitigate demand weakness. These efforts lead to excellent operating results in the quarter. Third quarter operating income was $270 million and operating margins were a record 24%, up 40 basis points compared to last year’s third quarter, while decremental margins were an impressive 20% in the quarter. EBITDA in the third quarter was $332 million and EBITDA margins were a record 29.5%, up 210 basis points over last year’s comparable period. This led to earnings per diluted share of $1.01, down just 5% compared to the third quarter of 2019. Furthermore, our businesses generated a strong level of cash flow. Operating cash flow in the quarter was $310 million and free cash flow conversion was an impressive 146% of that income. Next, let me provide additional details at the operating group level. Our Electronic Instruments Group performed very well in the quarter, despite end-market weakness, delivering outstanding operating performance resulting in strong margin expansion. Sales in the third quarter for EIG were $748.4 million, down 8% from the comparable period in 2019. As expected, we saw solid and wide-spread sequential sales improvements from the second quarter. Organic sales were down 15% year-over-year, with the acquisitions of Gatan and IntelliPower contributing 6 points and foreign currency contributing 1 point. Commercial aerospace remains a largest driver of organic sales weakness in EIG. EIG’s third quarter operating income was $203.7 million and operating margins were an impressive 27.2%, up 30 basis points compared to the same quarter last year. Our Electromechanical Group also saw sequential sales improvement and mitigated a weak demand environment with solid operating performance. EMG sales were $378.6 million, down 18% from last year’s third quarter, driven in part by the impact of the Reading Alloys divestiture. Organic sales were down 13%, with a divestiture of 8-point headwind, the acquisition of PDT added 2 points and foreign currency adding 1 point. EMG’s operating income was $84.3 million and operating margins were solid at 22.3% for the quarter. Let me comment briefly on end-market dynamics for some of our businesses. Overall, we saw solid sequential sales improvements across all markets in the third quarter. We expect continued sequential improvements in the fourth quarter for all businesses other than customer aerospace, where we expect largely flat conditions sequentially. Our strongest market remains defense, where we continue to be well-positioned with content across a wide range of important defense platforms. We are also very well-positioned with our medical and healthcare businesses. Although, they experienced a delay in the return of electro procedures during the third quarter, which offsets solid COVID-driven demand. And our most challenging market remains commercial aerospace remain cautious of a trajectory of a recovery given the uncertainty caused by COVID-19. Given the uncertain and challenging end-market dynamics, our businesses remain highly focused on driving operational excellence initiatives, both structural and temporary, to manage topline weakness, while ensuring we maintain our investments and key growth initiatives across the company. AMETEK’s asset-light operating model provides us with the flexibility to do both. Our ability to expand margins and generate strong levels of cash flow during this pandemic is evidence of the strength of our operating model. In the third quarter, we generated $70 million in total cost savings, which was at the high end of our expectations, with $40 million in structural savings and $30 million in temporary cost reduction savings. Looking ahead to the fourth quarter, we expect a slightly higher level of structural savings, while temporary savings will be reduced from the third quarter levels, as we add back additional temporary costs during the quarter. As a result, we expect approximately $55 million in our total cost savings in the fourth quarter, with $45 million in structural and $10 million in temporary cost savings. And for the full year, we expect approximately $230 million in total cost savings, with $140 million in structural savings and $90 million in temporary savings. Our businesses continue to implement new and innovative ways to reach our customers around the world in new markets. Through virtual meeting platforms, augmented reality product demonstrations and service, and enhanced digital marketing initiatives, our businesses have adapted quickly to the new landscape. Seeing our businesses adopt these new ways of doing business quickly and effectively has been very impressive. Our businesses are also collaborating across platforms. As an example, AMETEK Land and AMETEK Rauland recently partnered together to help support Rauland’s reopen schools safely campaign for their Telecenter U solution. Rauland is the leading provider of critical communications, workflow and safety solutions for hospitals and schools. Their Telecenter U solution connects classrooms and educational facilities to district offices for emergencies, event management and everyday communications. As I mentioned on our last earnings call, AMETEK Land, a leading manufacturer of non-contact temperature measurement solutions, recently developed their new VIRALERT 3 system for rapid detection of elevated skin temperatures at points of entry to various facilities, including schools. Through this collaborative effort, Rauland was able to incorporate Land’s VIRALERT 3 technology into their Telecenter U solution to help their customers safely reopen their schools by allowing for temperature screening of students and faculty. In return, AMETEK Land will reach thousands of new potential customers through Rauland’s well-established network of school districts. The result was a valuable solution for our customers. Congratulations to the AMETEK and the AMETEK Rauland team for the success on this project. We are also finding ways to support our customers through new product innovation. Throughout the pandemic, we continue to invest meaningfully in our research and development initiatives, and we are seeing great success from these efforts. Our Vitality Index, which measures the amount of sales generated from new products introduced during the last three years was very strong at 25% in the quarter. During the quarter, Creaform, a worldwide leader in 3D measurement solutions, unveiled its R-Series 3D scanning solution that is designed for automated dimensional quality control applications. The suite of R-Series solutions includes the new robot-mounted MetraSCAN 3D scanner with CUBE-R, a turnkey industrial measuring cell that is designed to be integrated into factories for at-line inspections. Together, the solution provides customers with much faster cycle times, more accurate and repeatable results, higher resolution and operational simplicity, to increase productivity by measuring more dimensions on more parts without compromising on accuracy. Congratulations to the Creaform team for launching this outstanding new solution. Now shifting to acquisitions. While deal flow during the second quarter and third quarter has been impacted by the pandemic, we are starting to see a healthy pickup in activity. Our pipeline is strong and conversations with acquisition targets are accelerating. As Bill will highlight in a moment, over the last two quarters, we have further strengthened our balance sheet and liquidity position, and remain poised to deploy significant capacity -- capital on strategic acquisitions. We will remain active, yet disciplined, in our acquisition process. We continue to focus on acquiring niche technology leaders with attractive growth profiles with opportunities for us to add value commercially and operationally. Now turning to our outlook for the remainder of the year. While the global economy continues to present challenges and uncertainties, visibility has improved across most markets. As a result, we are providing guidance for the fourth quarter. Overall sales in the fourth quarter are expected to be down high-single digits with a similar level of organic sales decline. Diluted earnings per share are expected to be in the range of $1 to $1.04, down 4% to 7% versus the prior year. Fourth quarter decremental margins are expected to remain solid in the low 20%s. To summarize, our businesses delivered a solid quarter in a difficult environment. AMETEK continues to manage this global crisis well to the proven strength of the AMETEK growth model and with a talented workforce. Our cost mitigation efforts have allowed the company to weather this ongoing storm and we are confident that we will overcome these challenges with a bright future. I will now turn it over to Bill Burke, who will cover some of the financial details for the quarter. Then we will be glad to take your questions. Bill?
Bill Burke: Thank you, Dave. I’d like to echo Dave’s comments on the quarter, as we saw outstanding operating performance driven by the tremendous efforts of our team in a very challenging economic environment. Let me provide some additional financial highlights for the quarter. Third quarter general and administrative expenses were down $4.5 million, compared to the same period of 2019, primarily due to lower compensation costs and other discretionary spending cuts. As a percentage of sales, general and administrative expenses were 1.5% of sales in the quarter, down from 1.7% last year. The effective tax rate in the third quarter was 17.5%, down from 19.5% in the same period last year. The lower tax rate in the quarter was due to returned provision adjustments and a lower tax rate on foreign earnings. For 2020, we now expect our effective tax rate to be between 19% and 19.5%, and as we have stated in the past, actual quarterly tax rates can differ dramatically, either positively or negatively from this full year estimated rate. Operating capital and working capital was an impressive 17% in the third quarter, down sequentially from the second quarter’s 19.6% on outstanding working capital management. Capital expenditures in the quarter were $10 million. We now expect full year capital expenditures to be approximately $80 million, which is $5 million higher than our full year expectations last quarter, as we are investing in incremental growth opportunities. Our full year capital expenditures estimate remains below our initial expectations to start the year of $100 million. Depreciation and amortization expense in the quarter was $63 million. For the full year, we expect depreciation and amortization to be approximately $255 million, which includes after-tax, acquisition-related intangible amortization of approximately $117 million or $0.51 per diluted share. Our businesses continue to generate strong levels of cash flow, despite the challenges presented by the pandemic. Operating cash flow in the quarter was $310 million, free cash flow was $300 million and free cash flow conversion was excellent at 146% of net income. Total debt at the end of the quarter was $2.8 billion, up slightly from $2.77 billion at the end of 2019 and down $68 million from the end of the second quarter. Offsetting this debt is cash and cash equivalents of $1.3 billion. Our gross debt-to-EBITDA ratio at the end of the third quarter was 2.1 times, as we are intentionally holding higher than normal cash balances. This was comfortably below our debt covenants of 3.5 times and our net debt-to-EBITDA ratio was 1.1 times at quarter end, which improved by 2 -- 0.2 turns in the quarter. We remain well-positioned to manage this economic downturn with approximately $2.3 billion in liquidity to support our operations and growth initiatives. This includes approximately $1 billion in available revolver capacity. As we have highlighted on previous calls, AMETEK has a robust balance sheet with no material debt maturities due until 2023. In summary, our businesses continue to manage through the pandemic exceptionally well, delivering strong operating results and high levels of cash flow. The dedication of our world-class workforce to serving our essential customers has truly been impressive. We remain well-positioned to manage ongoing economic challenges, while investing in our long-term growth initiatives. Kevin?
Kevin Coleman: Thank you, Bill. Andrew, we are ready to take questions.
Operator: Certainly. [Operator Instructions] And our first question comes from the line of Matt Summerville with D.A. Davidson.
Dave Zapico: Good morning, Matt.
Matt Summerville: Walkthrough -- hey. Hey, Dave. I was wondering if you can maybe start by doing your more detailed walkthrough on the businesses, please?
Dave Zapico: Sure. I will start with the process business. Overall sales for process were down mid-single digits in the quarter. We had the contributions from the Gatan acquisition and they were offset by an organic sales decline and it was in line with AMETEK’s overall organic sales decline. We saw sequential improvements in sales during the quarter, with this improvement being widespread across our process businesses. Our CAMECA and ZYGO businesses had solvent quarters, driven in part by their exposures to research and semiconductor markets. They did very well and we expect continued solid sequential improvements in sales for process during the fourth quarter. I will go into aerospace next. Both overall and organic sales for our entire A&D business were down mid-teens in the quarter, showing nice sequential growth from the second quarter. Similar to the second quarter, there was a meaningful difference in performance between our defense and commercial aerospace businesses. Our defense businesses continue to see solid demand, with sales up low-double digits on a percentage basis versus last year, while the commercial aerospace businesses were down about 35% versus last year. Looking ahead to the fourth quarter, we expect demand to maintain -- to be relatively flat or sequentially versus the third quarter, as the broad commercial aerospace market continues to adjust to the uncertain demand environment due to COVID-19. And next our Power & Industrial market segment, overall sales for Power & Industrial were down low-double digits in the third quarter, with contributions from IntelliPower being offset by a mid-teens organic sales decline. Demand levels in the third quarter improved nicely from the second quarter and we expect sequential improvements again in the fourth quarter. And finally for our Automation & Engineered Solution market segment, organic sales in the third quarter for A&ES were down mid-teens on a percentage basis. We saw modest sequential improvements in these businesses in the third quarter as we had expected with applications tied to medical markets performing well. We also saw a return to growth in China for Automation & Engineered Solution business in the quarter and as with the other sub-segments we expect sequential improvements across both our Automation & Engineered Solution businesses in the fourth quarter. That’s a walk around the company, Matt.
Matt Summerville: Thanks, Dave. And then as my follow-up, can you comment on what your price realization was in Q3 and what you are looking for in terms of sourcing savings for the full year? Thank you.
Dave Zapico: Yeah. I think the -- I will go with the price first. The -- we are very pleased to see our pricing held up well. Q3 was similar to Q2. We achieved about 0.5 of price across our entire business. Total inflation and the impact of tariffs was about a point. So we had a 50 basis points of positive spread added to margins. And your second question was on sourcing savings, that -- we consider that part of structural savings and it was about $60 million.
Operator: Thank you. Our next question comes from the line of Deane Dray with RBC Capital Markets.
Dave Zapico: Yeah. The one point, though, to finish, it was $60 million for the year, to Matt. And go ahead, Deane.
Deane Dray: Sure. Thanks. Good morning, everybody.
Dave Zapico: Hi.
Deane Dray: It’s great to see you guys are back in the quarterly guidance business, because that does speak to your earnings visibility. So, first question is, kind of related to this visibility, if you can take us through the cadence of the month in the quarter organically. Maybe how October month-to-date has looked and let’s start there, please?
Dave Zapico: Sure. In terms of orders in Q3, it was pretty typical trend for us with September being the strongest month of the quarter. In fact, it was our strongest month since I believe February back in Q1, when we started to really feel the impact of the virus. That’s orders. In terms of sales, September, again, was our highest month of the quarter and the highest month of the year so far. And in terms of October, obviously, it is not completed yet, but it looks good. Orders are trending well and it is supportive of our guidance in Q4, which shows solid sequential improvement.
Deane Dray: So did you see in the month that sequential improvement consistent through the quarter?
Dave Zapico: We saw sequential improvements in orders and sales. I believe August was a bit of an outlier, but August is always tricky for us. So in general, it was a trend upward with September the highest in both sales and in orders.
Deane Dray: Great. And then just kind of bridge this, degree of confidence in the sequential improvement. How this translates into your confidence in restoring guidance?
Bill Burke: Yeah. I think the confidence is really based on us becoming more confident with our ability to live with the virus and we have got visibility in our markets. We are seeing consistent improvement and consistent engagement with customers across all of our markets and we just got to the point where we were comfortable giving guidance. Our guidance range is a little bit wider than it typically is and that takes into account some of the uncertainty for the fourth quarter. But we just got comfortable, because our businesses are operating in a good rhythm and it builds a level of confidence with us.
Deane Dray: Great. And just my last question, not to oversimplify your mix and with respect to how you, in the last question, Matt’s question, you gave and highlighted those businesses. But if I thought about AMETEK and the strength of your medical and defense is probably -- those are probably the strongest here. How did those collectively do in the quarter? And then the weakest, which is more secular, it’s not execution. We get that, and actually, the commercial business you outperformed a number of your peers in this space in this market. So -- but the two sides to this medical, defense, how did they do versus the oil and gas and commercial aero on the other side?
Dave Zapico: All right. That’s a great question. One way to think about it is, if I take the two most challenged markets out, the commercial aerospace and the oil and gas, sales were down approximately 10%. And another way to think about that is, our defense showed strong growth in the third quarter, up mid-teens. Our healthcare business was just slightly down because of the -- we had COVID-related demand that was strong, but we had -- people weren’t going to hospitals and getting surgical procedures, so that was off a little bit. But the combinations of both the defense and medical was clearly our strongest and that was about flat.
Deane Dray: Terrific. And just a quick clarification, when you said flat for Q2 for aero, was that commercial aero and defense or was it combined?
Dave Zapico: So sequentially we are saying it’s going to be flat and that’s both for military and commercial aerospace.
Deane Dray: Got it. That is really helpful. Thank you.
Dave Zapico: Thanks.
Operator: Thank you. And our next question comes from the line of Scott Graham with Rosenblatt Securities.
Dave Zapico: Hi, Scott.
Scott Graham: Hey. Good morning. Well done again.
Dave Zapico: Thank you.
Scott Graham: I do have a question first on, I think, an area that you might be most proud of this quarter, operating working capital. What did you do there to push that percentage down as much as you did, what happened?
Dave Zapico: Yeah. The first comment is, that’s one of the hallmarks of AMETEK is our-- we think about working capital is being very -- you have to run businesses where you are efficient with working capital and there’s some elements that really over performed and I will let Bill comment on that.
Bill Burke: Yeah. I think what you saw was our receivables performance has been fantastic. Our businesses have really done a great job staying close to our customers and understanding that pushing for payment. Our receivables were down to 46 days on a DSO basis, which is -- as well as it’s been in quite a while, so I think the teams did a fantastic job there. And then the other thing, it’s at little more difficult, especially when sales are declining as rapidly as they did earlier in the year is getting your supply chains realigned to that level of demand and they did a great job with that as well, and I think, you saw that play out in the third quarter. So I think those two things in combination really enabled us to reduce that working capital percentage to 17% and the teams have just done a fantastic job on that around the company.
Scott Graham: That’s great. Thank you, Bill. Now here is another one. The $90 million of expected full year temporary cost reductions, a lot of companies are saying, hey, not all of that comes back. What is your view on that for 2021 at this point? How much comes back? How much is maybe permanent?
Dave Zapico: The first point I would make is, the temporary cost savings will be at a run rate of about $10 million in the fourth quarter. The second point is related to next year. What we -- we are in a situation. We have to sit down with all of our teams, our budgeting processes in November. It’s a bottoms-up comprehensive planning process for each business unit. They are going to look at growth in each of their markets, customer plans, competitive dynamics, investment opportunities, capital projects, cost reductions and part of that discussion is going to be how fast the temporary costs are going to come back and what the impact is year-over-year. At a high level, travel is a part of that and it is going to come back slowly through the year, but some of the costs have already been restored. So we really don’t have a detailed plan on that next year, because we haven’t done our budgeting yet. We start that process in November. But that’s how I think about it.
Scott Graham: Okay. Last question. Thank you for that. On the M&A pipeline, obviously, you have a much broader swath of businesses today than you did even two years or three years ago, particularly, I look at Gatan and how you have gotten even more into the scientific markets. Could you give us something maybe a little bit more granular date on what you are looking for? And I know competitively you have got to be careful there. But I am assuming that medical, scientific/research would be really kind of at the top of the list for things you are looking for. Could you comment on that?
Dave Zapico: Yeah. I think that’s an area that we are definitely looking at. I mean it’s broad based. We -- as you know, we have a decentralized business model and we get acquisition plans rolled up through our businesses through an adjacency process. And we are looking at all parts of the business in all areas and we are seeing an uptick in opportunity -- uptick in discussions. But they could come from all parts of our business. But the area that you highlighted is a particularly interesting one to us.
Scott Graham: Very good. Thank you. Good job.
Dave Zapico: Thank you, Scott.
Operator: Thank you. And our next question comes from the line of Ivana Delevska with Gordon Haskett.
Dave Zapico: Hello, Ivana
Ivana Delevska: Good morning. Good morning, guys. So, just wanted to ask, what percent of your portfolio may be excluding aero and defense and medical is levered to CapEx? And what are you seeing in those CapEx levered businesses?
Dave Zapico: Yeah. I -- most of the products that we sell are at a price range that could be considered both OpEx or CapEx. So we really don’t segment it that way. But certainly the -- you think about the big projects and the big project businesses and our oil and gas business and our metals business and some of the heavier industries are delayed right now, but the operating expenditures are continuing. So I don’t have a percentage to give you but that’s how we think about it.
Ivana Delevska: And then in terms of the CapEx levered businesses, are those like down significantly more than the rest, would you say?
Dave Zapico: No. In fact, our -- in the research market for CAMECA, they are selling million -- $3 million tools and that’s one of the businesses that I highlighted in process to talk about on our -- so that’s not the case. I mean, that’s a university market or a research market, very expensive. The key there is that we have the best products and we are the only one in the world that makes an atomprobe and we have a unique SIMs capability. So people say they budget for our products and we build products, and they deliver them. So -- and CAMECA, which is a CapEx market for us, had one of their best quarters. So it is…
Ivana Delevska: Yeah. Yeah.
Dave Zapico: It’s really dependent on the customer dynamics.
Ivana Delevska: Got it. Thank you very much.
Dave Zapico: Okay.
Operator: Thank you. And our next question comes from the line of Nigel Coe with Wolfe Research.
Nigel Coe: Thanks. Good morning and thanks for the question. So, Dave, I want to go back to the aerospace down 35%. It’s a steep decline for sure. But compared to sort of down 50 to 60% we have seen from so many other suppliers into that market. So I am just curious, would that be a reason why your decline would be significantly decoupled from what we see in the industry? I am thinking about any programs or any other factors, because that’s -- that does sound like it’s actually a pretty good performance?
Dave Zapico: Yeah. Yeah. I mean, it’s a -- it was a good performance. Remember, we thought we were going to be down in the mid-to-high 40s and we ended up down 35% in the commercial aerospace. Our teams did an excellent job. When you look at the different sub-segments, the third-party aftermarket and the commercial OEM ended up being down similar with business jet and we thought business jet would be higher and the third-party aftermarket and the commercial OEM would be lower and those two sub-segments performed better. But I -- that’s as much of backlog and things like that. Commercial is finding a bottom. There are many variables, including government support, airline capacity decisions, obviously, the confidence of the flying public. When we thought about our business sequentially, that’s the only part of our business we think will not improve. So definitely a better quarter, I can’t comment on the performance of other companies, because I really don’t know it. But I know our team did a good job on shipping product and as a negative 35%, pleased with the performance. This is as strange as that sounds.
Nigel Coe: Yeah. Right. That business is definitely getting better. And then just on cyclical costs, you gave some great detail there and I think you said $45 million of cost during 4Q. Is that a forward run rate, so as we go into 2021, are we looking at maybe, I don’t know, $40 or -- $40 million or so of kind of, like, carryover benefits into ‘21?
Dave Zapico: Yeah. First of all, Nigel, it’s $55 million of savings in Q4 and…
Nigel Coe: Okay.
Dave Zapico: … $45 million of it is structural and $10 million of it is temporary. And I am going to give you -- there’s a $50 million carryover from the restructuring that we did earlier in the year. But in terms of getting into any specifics, I am going to not answer the question for next year. Our budgeting process is going to be in November and really there’s a lot of discussion on cost reduction, investments and the temporary costs that are going to come back and that all goes into a mix. It will be a pretty complex budgeting process this year with the pandemic. There’s some extra variables in it. So I am not going to comment on what the savings will be for next year.
Nigel Coe: It sounds like you are still maybe configuring different actions in 4Q and just kind of like maybe set up a ‘21, would that be fair?
Dave Zapico: No. I don’t think so. But we are going to go through our budgeting processes and something may come out of there. But we don’t have anything planned in Q4.
Nigel Coe: Okay. Thanks, Dave.
Dave Zapico: Thanks.
Operator: Thank you. And our next question comes from the line of Christopher Glynn with Oppenheimer.
Christopher Glynn: Thanks. Good morning, guys. Hope all is well.
Dave Zapico: Good morning, Chris.
Christopher Glynn: So just wondering if, in the current environment where some smaller companies might be concerned about global dynamics, supply chain, trade, et cetera, if you are picking up on any new motivations by sellers, including some you have tracked and quoted for some years?
Dave Zapico: Yeah. I think there is some activity out there where people are anticipating possibly a tax rate change. So there’s some people that are -- have their businesses out there as part of the uptick and pipeline opportunities. And in terms of the overall uncertainty in the global environment, if you are a smaller owner of a company that has all of these dynamics in terms of COVID and geopolitical issues, and issues with China, you are certainly a little unsettled. And we have known these people for year -- years and we are certainly having discussions with them in terms of when the right time for them to sell their business is.
Christopher Glynn: Okay. And any changes in the competition for deals that you are interested in seeing?
Dave Zapico: I would say no competition change that is noticeable. It’s been about the same for the last couple years.
Christopher Glynn: Great. Thank you.
Dave Zapico: Thank you, Chris.
Operator: Thank you. And our next question comes from the line of Andrew Obin with Bank of America.
Andrew Obin: Hey. Good morning, guys.
Dave Zapico: Good morning, Andrew.
Bill Burke: Good morning.
Andrew Obin: Just a couple people actually asked me, did I miss -- did you guys actually give us actual orders in the third quarter, you usually do that?
Bill Burke: Yeah. I can do that. Our overall orders were minus 8%, our organic orders were minus 12% and our book-to-bill was 1.01.
Andrew Obin: Okay. That was easy. And then the second question, just I will ask on elective procedures. I think most of your competitors sort of said that elective surgery is back to 90%, 95% level pre-COVID. Are you just -- has that been your experience and what are seeing on elective procedures into Q4?
Dave Zapico: Yeah. I think elective procedures for us, we think it is going to stay at a reduced level until next year, is the -- we are hearing from customers. So we think we will have another quarter in Q4 of some kind of reduced elective procedures and then it will recover next year. And I anticipate they are working off backlog and there is less demand with COVID, so that market will correct itself as time goes on.
Andrew Obin: But your experience is consistent sort of with the data that I cited that your competitors are citing, right?
Dave Zapico: Yeah. I am not sure what our competitors have cited. But we are down a bit in numbers that you put out there 90% or 95% kind of makes sense.
Andrew Obin: Okay. And just to ask Ivana’s question in a slightly different way, on the way up as IP recovers, what kind of revenue leverage to IP should we be thinking for your portfolio ex aero and maybe ex healthcare?
Dave Zapico: Go ahead.
Bill Burke: Yeah. That’s something we are going to talk about with our businesses, but historically, AMETEK has recovered very well from significant downturns and we are seeing the improvement in Q3 versus Q2. We are anticipating seeing it in Q4 versus Q3, and historically, we have really performed well in upticks. So we have a mid and long cycle business and we are seeing good improvements. And what you are seeing is now is short cycle activities picking up. So that should bode well for the future. But we are going to go through our budgets and figure everything out.
Andrew Obin: Thank you so much.
Dave Zapico: Thank you, Andrew.
Operator: Thank you. And our next question from the line of Brett Linzey with Vertical Research.
Brett Linzey: Hey. Good morning all. Maybe first question, just on defense and medical, first on the defense side, very strong 2020 continues to look pretty good here. What is your visibility in that business next year based on wins or platforms you are on, clearly a tough comp, but can you see that growing still next year? And then on the medical side, any identifiable COVID-related opportunities that you could point to or even quantify that could pop up here over the coming months?
Dave Zapico: Yeah. The first question is, I am really not going to comment on the military demand environment next year, but the spending pattern, those things are relatively healthy and we will see what the political environment brings, but usually those changes occur slowly over time. So you think the overall spending environment will be supportive next year and our quoting activity shows that. In terms of the COVID-related products, I mean, the first thing I pointed to is the land temperature measurement, where we are doing body temperature scanning. When I came into work today, I went through the land system. It’s very quick, easy, efficient and measures body temperature. The other things that are happening in our Automation business, there’s a lot of COVID testing devices that require sample automation, movement of samples very precisely through testing. The demand in that business is very strong. We are also seeing some demand for temporary setups in hospital type situations with our Rauland Healthcare businesses. So we are really seeing some pockets of improved demand and that’s built into the overall story.
Brett Linzey: Got it. That’s great. And then just in terms of the geographic complexion. Could you maybe give us a little more color, what sales or order rates? And then I am actually curious specific on Europe in October with the lockdown chatter and maybe even enactment was starting to percolate a little bit. Did you see a…
Dave Zapico: Right.
Brett Linzey: … slowing kind of late in October in Europe? Thanks.
Dave Zapico: Yeah. Yeah. I will take the second question first. I mean, our orders for October are very good. They are in line with what we are expecting and we are seeing no geographical problems at this point. In terms of the third quarter, the geographical third quarter, we had positive sequential trends across all geographies, with Europe and U.S. remaining the most challenged. So the U.S. was down I think 13%, broad based weakness. Europe was down 20% on broad based weakness. Asia was down mid-single digits. We had a good strength in EMG in China and China was positive at plus 3% for us. So -- but all geographies improved sequentially.
Brett Linzey: Got it. Thanks, Dave. Appreciate it.
Dave Zapico: Thank you, Brett.
Operator: Thank you. Your next question comes from the line of Joe Giordano with Cowen.
Robert Jamieson: Hey. Good morning, This is Robert. Hey. Good morning. It’s Robert in for Joe this morning. Thanks for taking my question. A lot has been covered. I guess a quick one on the structural and variable costs for Q4, is there any -- is that pretty evenly split between the EIG and EMG, anything you can give about it?
Dave Zapico: Yeah. Yeah. Yes. It is. It is pretty well split between the two. So EIG is a little bit higher because of the relative size of it, but it is split based on volume.
Robert Jamieson: Okay. Great. And then can you provide another update on Gatan’s performance so far and how that has been progressing versus expectations and synergies into next year?
Dave Zapico: Yeah. I mean, we met our year-one profitability target. So we are going to be reviewing that with our Board next week. We had a very good first year. The team did an excellent job. We had -- We were helped by COVID-related sales, about half of that business was life sciences and we also announced the combining of our Gatan with our EDX business [ph] in similar market, so we drove excellent synergy. So very positive and the K3 camera helped us solve some of the COVID-related problems, being the first camera to structure the virus. So all very good and the people of Gatan are very proud of that. Okay?
Operator: Thank you. And our next question comes from the line of Andrew Buscaglia with Berenberg.
Andrew Buscaglia: Good morning, guys.
Dave Zapico: Good morning, Andrew
Bill Burke: Good morning.
Andrew Buscaglia: So, Dave, you talked about, you reinstated quarterly guidance, and you mentioned, visibility getting a little bit better, which is interesting. Some companies aren’t willing to say that yet or hesitate into year-end still a lot of uncertainty. So I guess, where are you seeing across your space, where are you feeling more comfortable, obviously in some areas with, by nature, like military spending, you kind of have better visibility just all the time. But I guess, where do you get more comfortable saying that and maybe is this coming from some of the conversations you are having with some of your customers?
Dave Zapico: Yeah. That’s a great question, Andrew. And when you think about it, we are getting better at living with the virus. Our customers are getting better at living with the virus. Our suppliers are getting better at living with the virus. And there is an uptick in cases, especially in Europe and the Western U.S. and we are watching that closely. But we expect to continue to run as an essential business and our customers are essential customers and they are expecting to continue to run. So business activity levels are continuing to improve and even in Europe when you some increased lockdowns to certain degrees, essential businesses are still operating. So that is really the broader context that we used to reinstate guidance and talking with our teams they are confident they can deliver the fourth quarter.
Andrew Buscaglia: Yeah. That’s fair. And you talked about -- this quarter about some benefits from COVID and some COVID-related products. I guess, it’s hard -- you have a lot going on on that side. I guess how much of it do you think is sustainable demand into 2021? I guess, I mean, how would you characterize sort of a temporary bump in demand related to those products versus something that might linger next year and beyond?
Dave Zapico: Yeah. As I said, a couple of times, we are not going to talk about next year. We are going to work with our teams. But in general, we are seeing a pretty substantial improvement quarter-to-quarter and we will find out the details with our teams. But I would expect that improvement trend will continue into next year, and as I talked earlier on this call about AMETEK, typically has responded positively to a deep downturn. So we will find that all out. We don’t know about the timing and there may be some COVID-related demand that falls off. But there is also going to be some demand that was impacted by COVID that is going to improve. So we will figure that out during our budget process.
Andrew Buscaglia: Okay. All right. That’s fair. Thanks, David.
Dave Zapico: Thank you.
Operator: Thank you. And our next question comes from the line of Michael McGinn with Wells Fargo.
Michael McGinn: Hey, guys. Mike on for Allison. Thanks for the question. 
Dave Zapico: Hi, Mike.
Bill Burke: Hi.
Michael McGinn: I want to go back to the capital allocation discussion. So as you move into the heavy R&D industries with the bolt-on acquisitions from versus maybe more material and direct COGS industries. Is there any discussion on the way you approach and report gross margin, which I believe differs from your peers at?
Dave Zapico: Yeah. Our cost of sales includes engineering and that’s historically how we have done that and we have not had a discussion recently of changing that.
Michael McGinn: Okay. Fair enough. And then I guess switching to some of your end markets. I believe you have an Automation & Engineered Solution platform that was approaching $1.5 billion prior to downturn. So I was curious what are near-shoring or re-shoring kind of player theme would look like for you guys in the businesses that would be most impactful for?
Dave Zapico: Yeah. Automation is one of them. Automation did well in the third quarter. It did better than our Engineered Services business and they are seeing that demand. They also saw good strength in China from that. And when you think about the product that I talked about today from Creaform, that’s all product for at-line metrology. So our Automation businesses and Instrumentation businesses are very well-positioned to do -- to improve in an environment that includes re-shoring. We have a lot of products that our customers use to make their manufacturing more efficient and more productive. So that’s kind of in our sweet spot.
Michael McGinn: Okay. And so is it fair to say that some of those businesses have a higher Vitality Index than maybe the Legacy AMETEK platform? I believe you said it was like 25% this quarter. Just is that where the R&D focus is now and going forward?
Dave Zapico: Yeah. I think the R&D focus is EIG-biased versus EMG and the Vitality Index is higher in those kind of businesses. So that would be a correct view from your view -- your viewpoint.
Michael McGinn: Okay. Appreciate the time. I will pass it along.
Dave Zapico: Thank you.
Bill Burke: Thank you.
Operator: Thank you. I will now turn the call back over to Kevin Coleman for any closing remarks.
Kevin Coleman: Thank you, Andrew. And thank you everyone for joining our call today. And as a reminder, replay of the webcast can be accessed in the Investor section of ametek.com. Thanks and have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.